Arne Møgster: And it's a pleasure for me to welcome you to Austevoll Seafood fourth quarter presentation. I will start this presentation by giving you the highlights of the quarter and also some comments to the annual results. Thereafter, I will take you through a segment for segment, looking at our performance in the quarter. Britt Kathrine driven us. She will take us more in detail through the numbers in the quarter. And I will end this session by giving a view on the different markets in the different segments we are operating within. So starting up, it's fair to say that we have had a quite active quarter in particular in South America. It's pleasant for us to see that our Peruvian activity is back on track. And have done a good performance during the second season there. Also been active in Chile for the human consumption activity in the North Atlantic. This is the main quarter also high activity there. And it's also pleasant to see that we are continuing the positive biological development in Lerøy. So all in all, revenue of NOK 9 billion, EBITDA of NOK 1.4 billion and an EBIT, including income from associates of just south of NOK 900 million. If you take into account the 50% share we have in Pelagia Group. You can see the following distribution of our NOK 1.5 billion EBITDA, approximately NOK 1.260 billion -- NOK 60 billion in EBITDA from Lerøy up NOK 80 million from same quarter last year. And when it comes to the Pelagic segment, you can see that we are also up approximately NOK 50 million and the explanation behind that is that the South American activity is delivering approximately NOK 200 million better than last quarter, and we are -- have reduced our earnings with approximately NOK 140 million in our North Atlantic Pelagic segments. But all in all, a decent quarter, which we are satisfied, I would say, across our group. Looking at the full year, to have some comments related to our numbers there. Again, I would say it's three major impacts. I'd like to comment. Firstly, Peru are doing approximately NOK 1 billion better this year versus 2023 and it's an illustration of the difference from a linear year to a year where we have a good volume. Other comments I want to mention is that our associated company, Scottish Sea Farms is also delivering NOK 700 million, NOK 800 million better this year, which is a turnaround also, which shows that we are doing the correct thing in Scotland. And lastly, also, I would say it's worth mentioning also that the biological development in Lerøy is far better going into 2025 compared with the same period in 2024. So all in all, revenue of NOK 35 billion, EBITDA of NOK 7.3 billion, EBIT of NOK 5.6 billion and it's also worth to mention here that we have a gain of sales of approximately just out of NOK 1.3 billion when we sold 2 of our Pelagic fishing vessels with quotas. Also, we have a quite strong balance sheet, total asset of NOK 55.6 billion, equity ratio of 53% and a net interest-bearing debt of NOK 8 billion. All in all, we are delivering more or less the same numbers from Lerøy, I would say, NOK 200 million less in '24 versus '23. And we are delivering far better from the Pelagic segment. And that's mainly explained again on the difference in earnings in Peru. Austevoll Seafood is all about volumes. In 2024, we caught approximately 500,000 tonnes on our own vessels in both North Atlantic and in Chile and Peru. We processed approximately 1.9 million tonnes in our Pelagic factories across these regions, produced and caught around 85,000 tonnes of white fish in the Barents Sea and slaughtered during 2024, approximately 200,000 tonnes of salmon. And of course, the ambition is to improve that volume in 2025. So then starting off talking about the segments. And I would say the first graph here showing the development, both in biomass and quota in Peru and you can see the major difference from the 2 seasons in 2023 versus 2024. So in 2023, the quota was set at 1.7 billion tonnes. We didn't have first season fisheries. And during 2024, the quota is up 300% total of 5 million tonnes. Second season started up first of November ended 23rd of January. We caught approximately 24% -- 74% during fourth quarter. And I would say that we had a quite good achievement. I would say the total fishery were around 96% of the total quota set. In our case, we were catching around 97%. And of course, we should have taken 100%, but I would say we are also quite satisfied with the performance also during that season. So caught 170,000 tonnes, purchased an additional 55,000 tonnes. We had a quite large plant discharge share of 9% which is a record level in our case. The super prime percentage were up versus same season last year and also the fisher yield is back, I would say, in a normal pattern and the total production of fish oil in Peru is approximately 10x higher this year versus same period last year. In the South, I would say that the last 2 years in '23 and '24 has been a limited volume in for our factories in Ilo. So far this year, we have had a good start, where we have purchased approximately 45,000 tons, which is approximately the same amount that we did in the first than the last 2 years. So I would say a good start. So going into 2025 with higher shares -- higher stock, both on fishmeal and fish oil. And I would also say we have had a decent start in Peru in 2025. Chile also have shown, I would say, in the latest year a positive development, in particular in the quota and we have had, in particular, in 2024 a quite good utilization of both our fishing vessels and our factories. So -- and we have received a record high volume of 133,000 tonnes of horse mackerel and mackerel to our plant, 64% -- 64,000 tonnes is mainly based on our own quota. And then we have purchased additional 64,000 tonnes, which we have caught with their own vessels and produced in our own -- in our own factories. Also, the -- I would say, the biomass is sustainable. This year, Jack Michael quota is up with 25% but it's still too early to say what the final quota will be for Food Corp because there is an ongoing discussion related to allocation between industrial fleet and also the coastal fleet. And I think we will have maybe some answers on that within the next 2 months. When it comes to the North Atlantic Pelagic quota it's on a lower level in '25 versus the same period in '24 is considerably down on the Barents Sea, Caplin, Sandell, Macro North Sea hiring and also a 5% reduction in Blue whiting and the positive sign, I would say, is that the hearing is up 3%. So the downward trend we have seen in the last couple of years seems to be turning at this time. But less volume, higher competition to get raw material from both our fishmeal activity and also our human consumption activity in Pelagia. When it comes to the fishmeal activity in Pelagia is a seasonable low production quarter mainly producing trimmings in this quarter, which is the same as we are normally doing in every 4 quarter and a volume of 162,000 tonnes is purchased during the period. Total volume in 2024 is 950,000 tonnes, and we are guiding of a volume of 900,000 tonnes from Pelagia in 2025. I would say that the fishery prices have been quite good also during fourth quarter, but I would also say that the margins has a bit reduced on particularly on Fish oil as a consequence of the very good fisheries we have had in Peru. So looking into the direct human consumption production for the Pelagia factory, the food segment, have been through a period, both in third quarter and fourth quarter, which is the main season for this segment. We have caught approximately -- purchased approximately 35% of the total annual volume in fourth quarter in 2024, and it's been committed. It's been a good season for this segment where they have been mainly producing herring -- filated herring and also Atlantic mackerel. This is also the main species, which we have been producing in this segment in the first quarter. And I would say, again, it's done a good job in this segment, both in this quarter and also for the full year in '24. Looking in the result of Pelagia, a bit down from same quarter last year, and it's mainly driven by a higher pressure on margin on fishmeal and fish oil. And also the health segment is delivering a bit weaker this quarter compared with the same quarter last year. So all in all, a revenue of 5 million tonnes. It's down from an EBITDA of NOK 293 million and EBIT of NOK 177 million. If you look at the full year, revenue of NOK 15 billion, EBITDA of NOK 1.4 billion an EBIT of NOK 972 million. And as a summary, I would say that the food segment is delivering better in '24 versus '23, and the feed and health segments are delivering poorer in -- during the season. Then discussing or taking into account the operation in Lerøy. And I would say, Lerøy is delivering more or less on the same level as they did same quarter last year, but taking into account that the spot prices has been NOK 5 less the company is developing in, I would say, in a positive direction. I would say the net growth has been 11% higher than the average of the last 5 years, mortality approximately 27% lower compared with the same period. And we have also reduced our sea lice treatment with approximately 15% by taking into account submerged equipment, which is a good achievement, and has also led into that -- we are in the roof on the MAB going into 2025 in all region of Lerøy. Slaughter volume of 56,000 tonnes in the fourth quarter, a record high volume for us, 9,000 up versus same period last year and is divided by 15,000 tonnes in the north 22,000 tonnes in mid and approximately 19,000 tonnes in the West Coast of Norway. EBIT per kilo, NOK 14 a bit down from same period last year. And if you look at EBIT per kilo on the value chain, it's NOK 50 per kilo in Lerøy Aurora, NOK 20 per kilo in Lerøy Midt and also NOK 10 per kilo in Lerøy Sjotroll. So we say, all in all, a good achievement. And if you want a more detailed walk-through I suggest to you look at the webcast of Lerøy for this quarter. When it cost to volume, we are maintaining our volume guidance of 195,000 tonnes in Norway. It's almost up with 19,000 tonnes and approximately 16,000 tonnes in our share of Scottish Sea Farms. We have been having a quota reduction on the whitefish segments. I would say, for the last 3 years. And this has also been reducing in 2025. I would say 2024, looking at the quota we have had available have been also a decent year for the segments, in particular, on -- for the fishing fleet. And I would say the reduced quota has been compensated by increase of market price for the main species. Cod is up with 56%, haddock is up with 152% and Safe is up with approximately 52%. But I would say on the land-based activity when quota is down, the conditions to make margin is even more challenging. So then I would give the floor to Britt Kathrine.
Britt Kathrine Drivenes: Thank you, Arne. We start with -- summarize the volumes for the quarter and just in short, high activity in Peru because of the second season, which started in first of November. We have had high activity within the human consumption production in the North Atlantic and have slotted a substantially higher volume of salmon and trout in the fourth quarter 2024 compared with same quarter in 2023. Anna has already taken you through the key figures, so I will not repeat too much, but what we can say is that we have had an increase in revenue of 7% compared with same quarter in 2024. And the revenue came in at NOK 11.6 billion included our 50% share of Pelagia. Earnings here, EBITDA adjusted was up 10%, came in just above NOK 1.5 billion and also including 50% share of Pelagia. As mentioned, Anna has taking you through the key figures, so I will start on the line income from associated companies, which came in at NOK 54 million in fourth quarter 2024, down from NOK 109 million in same quarter in '23. The 2 largest companies, associated companies are Pelagia and Norskott Havbruk and Anna has already taken you through the figures for Pelagia. So I will just in short say that the earnings in fourth quarter was down from same quarter in '23. Food segment delivered a better result. The feed and health a lower result compared to the same quarter in '23. But I have to mention that for the full year 2024, Pelagia has had a very good year with EBITDA of NOK 1.4 billion. Norskott Havbruk had some challenging years. So it's very -- we are glad to see that there is a positive development, both operational and financial now in 2024, and they have a better earnings in fourth quarter this year compared or 2024 compared with the same quarter in 2023 is up NOK 30 million, if you look back to 2023. And also here, I would like to mention the full year because the EBIT for the full year is NOK 555 million, and that is actually an improvement of NOK 860 million on the EBIT level from 2023. Then we have the line other income and expenses. And you can -- in the appendix, you can see the details there, but it includes this production tax for the salmon farming segment. It's also elimination of internal earnings and write-downs. But also in this quarter, it includes litigation costs. The fair value adjustment related to biological assets was positive with NOK 725 million in fourth quarter. It was also positive in the same quarter in 2023 with NOK 250 million. This gives an operating profit of NOK 1.4 billion in the fourth quarter, up from NOK 937 million in fourth quarter 2023. Profit before tax was NOK 1.2 billion, up from NOK 820 million. We have a positive tax in the quarter. And for those of you that remember, the 2023 figures, we had quite a high impact from implementation effect of the resource rent tax. It was NOK 1.8 billion, which came into our tax cost. We have reversed close to NOK 1 billion of that effect now in 2024 in fourth quarter. Net profit in fourth quarter was NOK 1.8 billion, up from NOK 767 million in same quarter last year or in 2023 to be more precise. And the earnings per share. And if we take out this biomass adjustment, was NOK 3.3, including the biomass adjustment, the earnings per share was NOK 4.8. Looking at Lerøy Seafood Group, the quarterly harvest volume was up 20%. The cost per kilo of slaughtered salmon and trout has been decreasing since second quarter in 2024 and also decreased now in fourth quarter. But the spot benchmark prices they are lower compared to the same quarter in '23, which, of course, impacted the price achievement. So the EBIT per kilo, excluding Wildcatch came in at NOK 14 down from NOK 16 same quarter 2023. The VAP sales and distribution is continuing its good development and they have had a very good capacity utilization. And the earnings from this segment is NOK 275 million in the quarter, a little bit up from NOK 271 million in fourth quarter of 2023. Wild catch, we have been talking about the quota reduction, and that is, of course, challenging. The effect is compensated in a way in the troller or in the catch segment of the Wild Catch operation because of higher prices. But of course, very challenging for the land industry. But you can see here that we have a 21% lower volume in fourth quarter in 2024 compared with fourth quarter 2023. The revenue in the quarter was close to NOK 8.5 billion. The EBITDA was NOK 1.26 billion, and the EBIT came in at NOK 799 million in the fourth quarter. Second fishing season started up 1st of November, and the company has, of course, had a very good activity in the quarter. They cost a little bit less than 74% of its quota before the end of 2024 and in addition, purchased 55,000 tonnes from third party. So you can see the increase in raw material is up 100,000 tonnes in fourth quarter in '24 compared to same quarter in 2023. The company has sold a very limited volume of its production in second season, a little bit less than 6,000 tonnes, and that was in line with what we sold also in the same quarter in 2023. Fish meal prices are down close to 18% compared to same quarter in '23. But this also means that we go into 2025 with a very high inventory of finished products, a little bit less than 48,000 tonnes of combined fish meal and fish oil, up from 16,400 tonnes going into 2024. The revenue in the quarter was NOK 142 million, EBITDA of NOK 78 million and EBIT of NOK 18 million. And I have to -- I would like also to mention the full year because you can see that revenue has more than doubled in 2024 compared to '23 and there is an increase in EBITDA of NOK 1 billion compared to 2023. Chile has also had a very good year. They have had the highest catch volume of horse mackerel and mackerel in the company's history, 133,000 tonnes. Also in fourth quarter, we had good activity. The company got 21,000 tonnes of horse mackerel and mackerel and a very high apportionment for frozen production. We also had a fishery last in 2023 in December, 18,000 tonnes, but most of that raw material went in for the production of fishmeal and fish oil. Revenue in the quarter is NOK 395 million. The EBITDA is NOK 39 million, and the EBIT is NOK 25 million. But that is an increase of NOK 100 million compared to same quarter last year. [indiscernible], they have harvested -- they harvested volume is down 42%, a little bit less than 1,300 tonnes down from 2,200 tonnes in fourth quarter in 2023. The company sells all its salmon in the spot market. But the majority of the volume harvested is harvested in the latter part of Q4 and in contrast to Q4 in 2023, and this has resulted in higher prices. The cost is also a little bit higher compared to same quarter in 2023. And the EBIT per kilo came in at NOK 22, up from NOK 20 in the fourth quarter of 2023. It's not much to say related to Br. Birkeland, they sold the Pelagic activity in June, and the cash contribution from that sale was a little bit less than NOK 2 billion. The 2 vessels left in the company, the snow crab vessels, they finished their quote in March in 2024 and have had no operations since then. So the EBITDA is negative with minus NOK 11 million. Looking at the financial position. The total assets by the end of 2024 was NOK 55.6 billion, up from NOK 53 billion by the end of 2023. I will comment some of the lines. You can see tangible fixed assets are up. And in addition to the maintenance CapEx, we are also -- have done investment in new technology within the farming segment. The right of use assets are also up, and we entered into a new leasing contract in fourth quarter for a state-of-the-art well bought which impact this line. We also have a higher standing biomass, and that increased the biological asset at cost. Net interest-bearing debt by the end of the year was a little bit above NOK 8 billion, up from NOK 6.7 billion in 2023. However, I have to say, we have a very good and strong balance sheet and the equity ratio is 53%. Arne mentioned it in the beginning, but the Board will recommend to the annual shareholders meeting in 2025 to pay out a dividend of NOK 6.5 per share. In 2024, the company paid out NOK 4.5 per share. Looking at the cash flow, I would like to comment shortly on the full year and the cash from operating activities came in at NOK 2.9 billion. We have increase in working capital, and that is driven by high activity, especially South America, as you saw earlier in the presentation, we have quite high inventory of finished products going into 2024 compared with 2023. We also have a higher standing biomass, which also increased the working capital. And the payable tax in 2024 was NOK 1.3 billion, up from NOK 739 million in 2023. Looking at the cash from investing activity, that is positive, NOK 181 million and of course, impacted by the sales of the shares in the Pelagic activity in Br. Birkeland AS, which gave a cash contribution, a little bit less than NOK 2 billion. Cash from financing activities was minus NOK 2.8 billion and I would like to mention here that we have paid dividend out of the group of close to NOK 2.7 billion. So we started the year with a cash position of close to NOK 5.5 billion and ended the year with a cash position of NOK 5.7 billion. So, then I leave the floor to you again, Arne.
Arne Møgster: Then I will end this session by giving our view in the different markets we are operating within, and starting up with the fish meal and fish oil market, starting up with the fish meal market, you can see among the largest producer that there is an increase of just out of 40% of production in '24 versus '23 and the main driver behind that is Peru, which has had an increase of 137%. The season has been successfully produced in the second season, approximately 575,000 tonnes. And we have also seen that prices has been reduced as a consequence of the high quota both in first and second season, but also prices has partly recover a bit during the end of the year. And by now, prices is approximately $1,600 for super prime quality and $1,400 for standard quality. If we look at the major markets, stock now is 234,000 tonnes. It's up 33% versus same period last year, but still they have been moving a lot of the volume produced in Peru over to China. Daily outtake is 3,200 tonnes and its better than the same period last year. Prices higher than what they are selling for in Peru, which has stimulated more trade. And if you look at last year's import level, it's just sort of 2 million tonnes, which has been imported to Peru and all in all, 2.2 million tonnes consumed in Peru, which is a high portion of the total production in the world. Fish oil, more or less the same development. We are seeing a reduction in production in all the major countries, except Peru, which is not only benefiting of a higher volume, but also for a much better yield this year versus the same years in '22 and '23. We have an increase of 10x in '24 versus '23. And this has also affected the fish oil prices. We are seeing now that for the feed grade, the prices is $2,700 per ton, with a premium of approximately $700 for the Omega-3 grade. Then moving over to salmon. And as you can see, both in '22, '23 and '24, the supply of Atlantic salmon, which were more or less on a zero level. And then '25, it's the expectation of 6% increase on a global level, which is also supported by the growth we are seeing now in particular from Norway. But I would say the fundamental for a good market also into '25 is definitely there. And looking at the price development, we can also see that salmon prices in '24 versus '23 where approximately NOK 5 less and the same has been for the quarter NOK 5 less in fourth quarter versus same quarter in '23. And also going into 2025, as we are seeing now. We're also seeing, I would say, lower prices, but also as a consequence that the supply of superior fish is much higher during first quarter versus the same period last year, where we have a winter wound in a high portion of the salmon produced in Norway. Still, as you can see, EU is the main market for Atlantic salmon, it's up 5% versus same period last year. Other markets, which is mainly overseas market is 6% up and the U.S. market is down by 2%. And to sum up, our positive biological development in Lerøy during 2024. And we hope to see that in the numbers when we are coming into 2025. The biomass is high in 2025, and we will have a higher portion also slaughter in first half year versus the same period last year. And we are seeing the improvements mainly coming from all the way down to road genetics, small quality the new farming technology and also process improvement and treatment. So all in all, salmon looks good, more challenging on the whitefish quota continue down, Cod down by 32%, haddock down by 2% and safe is on the same level in the north and up 40% in the South. South America, I would say, we are quite satisfied with the second fishing season performance in Peru, expecting the new season to commence during April. So the research has already started. And of course, the quota will be determined by after the research. Also in Chile, a bit in particular, but a very good fourth quarter versus the normal 4 quarters because this quarter, we have been earning money. We had a high stock into fourth quarter and also have a good fishing performance in 4 quarters. So leaving also good stocks in for 2025. And then in the North Atlantic, I would say, all in all, the performance on the main season. Info food has been very good. And we are now in the season, main season for fishmeal and fish oil activity buying blue whiting. So a bit last quarter to compete against, but I would say also that the people in Pelagia is well prepared and well motivated to take their portion of the volumes. So that was all. Thank you for the attention.
End of Q&A: